Operator: Hello, my name is Chris, and I’ll be your conference operator today. At this time, I would like to welcome everyone to Q2 2023 Saia Inc. Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Doug Col, Executive Vice President and Chief Financial Officer. You may begin.
Doug Col: Thanks, Chris. Good morning, everyone. Welcome to Saia's second quarter 2023 conference call. With me for today’s call are Saia's President and Chief Executive Officer, Fritz Holzgrefe. Before we begin, you should know that during this call, we may make some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements and all other statements that might be made on this call that are not historical facts are subject to a number of risks and uncertainties, and actual results may differ materially. We refer you to our press release and our SEC filings for more information on the exact risk factors that could cause actual results to differ. I'll now turn the call over to Fritz for some opening comments.
Fritz Holzgrefe: Good morning. And thank you for joining us to discuss Saia's second quarter results. While continuing to manage through an ongoing softer economic environment, I'm proud to present what I view is very solid results produced by our team in the second quarter of 2023. On a bright note against easing year-over-year comparisons, the pace of volume declines moderated each month as we move through the quarter and have actually turned positive so far in July. We believe changing industry dynamics over last several weeks have played a role in this.  Internally, we monitor our customer satisfaction metrics on a daily basis. For the quarter our trends continue to progress favorably, as customers are increasingly satisfied with our service both in our legacy facilities, as well as the new facilities opened in the last couple of years. It is gratifying to see our team's commitment reflected in the financial results.  Despite an overall fray environment down compared to the prior year we saw solid results in the quarter. Total revenue of $694.6 million was down only 6.8% compared to last year's record second quarter revenue, despite a 3.8% fewer shipments and the fuel surcharge revenue being down nearly 32%. Our focus on service, pricing and mix of business has been key to offsetting these factors and our yield, excluding fuel surcharge revenue improved by 2.7%, compared to last year even with the headwind created by an increase in weight per shipment, and a decline in length of haul.  We continue to highlight the importance of business mix and freight selectivity and closely monitor our revenue per shipment. A key metric for our team. In the quarter revenue per shipment excluding fuel surcharge increased by 4.8% benefiting from a 2.2% increase in average weight per shipment. Industry pricing continues to be resilient in the face of negative tonnage trends, and we saw an average contractual renewal increase of 5.3% in the second quarter.  Our second quarter operating ratio of 82.7% deteriorated 230 basis points compared to our operating ratio of 80.4% posted in the second quarter last year. But again, that was a record quarter for both revenue and OR and the industrial economy has changed meaningfully since then.  I'll now turn the call over to Doug for more details from our second quarter results.
Doug Col: Thanks, Fritz. Second quarter revenue decreased by $50.9 million to $694.6 million. Yield excluding fuel surcharge improved by 2.7%, while yield decreased by 4.8%, including the fuel surcharge. Fuel surcharge revenue decreased by 31.7% and was 15.9% of total revenue compared to 21.7% a year ago. Revenue per shipment ex-fuel surcharge increased 4.8% to $287.9 compared to $274.6 in the second quarter of 2022.  Tonnage decreased 1.7% attributable to a 3.8% shipment declined, slightly offset by 2.2% increase in our average weight per shipment. Our length of haul decreased 2% 892 miles.  Shifting to the expense side for a few key items in the quarter. Salaries, wages and benefits increased 5.7% from a combination of our July 2022 wage increase, which averaged 4.3% across our employee base, and also the result of our employee headcount having grown by approximately 1.1% year-over-year to support our network expansion over last 12 months. Purchase transportation expense decreased by 45.8% compared to the second quarter last year, and was 7.2% of total revenue compared to 12.3% in the second quarter of 2022. Truck and rail purchase transportation miles combined were 11.8% of our total linehaul miles in the quarter, compared to 19.3% in the second quarter of 2022.  Fuel expense decreased by 25.8% in the quarter, despite of company miles increasing 6.6% year-over-year. The decrease in fuel expense was primarily the result of national average diesel prices decreasing by over 28% on a year-over-year basis.  Claims and insurance expense increased by 19.3% year-over-year in the quarter it was up 20.6% or $2.9 million sequentially from the first quarter of 2023. The increase reflects a combination of premium cost inflation and some expense related to development on older claims. Depreciation expense of $44.7 million in the quarter was 20.9%, higher year-over-year, primarily due to the acquisition of terminals, tractors and trailers.  Our total operating expenses decreased by 4.2% in the quarter and with the year-over-year revenue decrease of 6.8%. Our operating ratio deteriorated to an 82.7% compared to 80.4% a year ago. Our tax rate for the second quarter was 24.7%, compared to 24.4% in the second quarter last year, and our diluted earnings per share were $3.42 compared to $4.10 in the second quarter a year ago.  I'll now turn the call back over to Fritz for some closing comments.
Fritz Holzgrefe: Thanks, Doug. So below last year’s first half results, overall, I'm very pleased with our first half financial results. To operate with an OR in the low to mid-80s. At this point, the freight cycle is a testament to the improved operating performance of our team over the last few years. Our customer first focus is yielding tangible results across our organization, a singular focus on the customer is a rallying point for our employees. As reflected in the record employee engagement with survey we completed recently.  With a talent and engaged workforce the value proposition to our customers continues to grow. A key component of our market share opportunity is the closer to the customer and give them the chance to choose Saia for their LTL needs more often. I'm excited about the five new terminals we've managed so far. This year, we're on track to open three to four more by the end of the year. At the same time, we continue to develop the markets around the other 20 plus terminals we've opened over the last two years.  Although we're excited about the early success of these locations, we see considerable runway to continue to penetrate those markets. While our pipeline for terminal openings carries us well into 2025 and beyond. Keep in mind that a key benefit of our organic expansion strategies it allows us to go at the pace that suits us. Our business cycle is subject to cyclicality and depending on where we are in the cycle, we may see an opportunity to accelerate or even slow down our terminal expansion activity. Importantly, we have positioned the company to execute on our organic expansions quickly as opportunities become available.  Finally, before opening the call for questions, I would say there's still a lot of uncertainty around the strength in the economy we faced in the second half and beyond. That uncertainty is heightened for the LTL industry through the current well documented disruption. At Saia, we've emphasize the importance of the customer and focusing on things that we can control. So as our industry adjusts to the current disruption and adapts to the evolving economic environment over the coming months, my conviction about the long term prospects at Saia remain steadfast. Great employees, great service and a growing footprint, all key to securing our position as a long-term share gainer in this industry.  With that said we're now ready to open the line for questions, operator.
Operator: [Operator Instructions] The first question is from Jack Atkins with Stephens. Your line is open.
Jack Atkins: Okay, great. Good morning, and thanks taking my questions, guys. So I guess -- I'm going to ask the obvious one. What really appreciate maybe if we could get a little update on July tonnage and shipment trends, Doug, I don't know if you want to take that or Fritz. But, obviously, I would imagine the first half of the month is different than what you've been seeing over the last week to 10 days. So if you could maybe quantify that a bit. I think that'd be helpful as well.
Doug Col: Sure, Jack. First of all, congrats on your summer activities.
Jack Atkins: Thanks. Thanks. So glad to be married. 
Doug Col: Happy for you. So June, you guys have April May numbers, we put that out in the early June press release. So, the June numbers, our shipments were down 1.8% year-over-year, while tonnage was down 2.2%. So weight per shipment dipped in June by 0.4%. So mid-June I'd say we started seeing some lighter weighted shipments some of that, some of the activities we were working on over the course of the year and probably some of that already seen some freight flow into the network from newer customers as well. So that weight per shipments kind of trend start in June, and its continued here in July in terms of lighter weight.  So for July, month today through yesterday, shipments are up about 5% and tonnage is up about 2.5%. Again, that average weight per shipments trended down, but it makes sense to us versus what's going on out there.
Jack Atkins: Got it. And then in terms of just what you've been seeing, in the last couple of weeks, maybe last week, how does that differ versus that the month today trends, and I guess, kind of bigger picture for my follow up question, Fritz as you're sort of thinking about maintaining high levels of service, it's critically important to the Saia story and your value proposition. With this disruption in the marketplace broadly, can you walk us through how you and the team are really trying to make sure that you're protecting the network from any disruption from all this? 
Fritz Holzgrefe: Yes, good questions. What I would say is that first of July -- July 3, is sort of the hanging holiday right before the fourth, that was a Monday to recall. So that was a little bit of a lighter shipment day. And it was a bit challenging from a cost perspective and such. And so that first week of July was sort of holiday impacted. But you know, that is every year. And I think we've seen the business levels trend more favorably in the last two weeks. So if that's been a positive trend, I think the -- it's been a big contributor to what we're seeing so far in our results in July.  But I think the key thing for us is that focus on customer and maintaining the service levels, picking up the freight managing our freight, or managing our customer base to make sure we understand what it is we're picking up, what the requirements are, what -- can we execute on that and significantly, making sure that the economics work with this. So we feel very strongly that we've got a tremendous service offering. So it is critical to us to maintain that service offering. And it's also critical to us to make sure that we're compensated appropriately for that high level of service.  Customers, this is a unique opportunity, in a disruptive time, that we can show customers, and this is what you get with Saia. And that's differentiated high level of service. And we think that if we execute on that, well, we can hang on to this, or this will kind of the share will come to us over time, really been our long term strategy. And maybe the disruption here in the last couple of weeks is helped us accelerate that a bit. But we'll see how it plays out. There's a lot that still could change here in the next number of weeks. But our focus on customer first I think is going to lead us through this.
Jack Atkins: Okay. Thanks, guys. I'll pass it on.
Operator: The next question is from Amit Mehrotra with Deutsche Bank. Your line is open.
Amit Mehrotra : Thanks. Hi, Fritz. Hi, Doug. I guess maybe I'll just ask a quick one on the operating ratio, as we move from 2Q to 3Q, I know you guys probably have a wage increase in the third quarter that maybe hold the line, but you've obviously got some momentum on volume, which -- so Doug, if you can just talk about a lot expectation in 3Q?  And then Fritz, what's happening at yellow, so like the overall price of the book of business, as you guys see contract rate renewals, I know you talked about 5% last quarter. But, does this gives you an opportunity to kind of accelerate the narrowing of that revenue per bill to peers that you've been so focused on and just trying to think what the what the pricing opportunity is on the existing book of business?
Doug Col : Sure, I'll take that first Amit. So yes, you're right, you know, July is kind of annually our time we think about, wage increases and things like that. So that's taken place, the average we'll call it right around 4.5% across the workforce. And historically, I mean, if I'm just saying about the last five years, you got to take out the 2020 COVID tear Q2 to Q3 doesn't make sense. 2021 was a pretty unique year in the back half, as we’ve really saw an opportunity to work on some things and improve things around assets and all, we took a really big step up there, and there's still opportunity there, we're still grinding that out each quarter. But that was a kind of a unique quarter.  But if I look at the other quarters, it's usually meant something like a mid-100 bps kind of deterioration. So I think, look, we got one month, and like Fritz said, a lot of uncertainty on the top line, certainly over the next few weeks. But with a month under our belt, 100 to 150 basis points in our view, Q2 to Q3 would be pretty solid work. So, like I said, we're less than a month in our belt, that's what we're comfortable with.
Fritz Holzgrefe: Yes, just Amit to answer your question regarding pricing environment. I think that if, under the current sort of disruption, if you have a low price competitor exit the market, I think that. The first thing is the customers is that gets shifted around, customers that have service expectations, naturally, I think would gravitate towards Saia, because I think we're doing a great job. For us, it doubles down our -- frankly our responsibility to make sure that we're paid for that high level of service, capturing those charges. I think it's -- because the customer gets a lot of value for that. So we've got to be very, very diligent around that.  I think what will happen over time in the industry? I mean, you've seen the discipline that across the space, I think that probably could continue. I think that to the extent that the underlying costs in this business remain inflationary, I think those factors are still key to all operators, not just Saia, it can be paid for those investments. And I think that it's, as we look for ways to continue to close the gap to make sure we're getting paid at market or above market, because of the service level. I think that's an opportunity that we've got to continue to push forward drive. Or I think the environment with this disruption, that's there now, maybe that helps us that people will have the opportunity to experience with great services.
Amit Mehrotra : Yes. And I guess just as a follow up, kind of very big picture Fritz, because over the last five years, the performance -- the fundamental performance has been so great. And obviously, the equity value of the company has responded accordingly. If there are people that are new to Saia today, new to the stock, new to the company, new to you guys. What would you frame kind of the three, four, five-year opportunity to be from revenue perspective, from a margin perspective, because you guys have accomplished a lot, but you just you talking about the runway, hoping you can kind of like help us crystallize that a little bit in terms of where you think the opportunity is?
Fritz Holzgrefe: I think that opportunity for Saia is significant. And I think if somebody studies the industry and you study what the sort of margin opportunities are with best-in-class looks like, and you look at our progress over last couple years, and you look at our performance through a bit of a slower part of the freight cycle right now, we're able to operate in the sort of low 80s, or that's a significant executional accomplishment for Saia now, and I think in a market where maybe we see a little bit more economic growth. I think the opportunity for Saia to grow this business well into the 70s OR is meaningful. I mean, it's something within our reach.  What’s critical that and this is I mean, we talk about this all the time, it's about taking care of the customer, customers got to get what they need from Saia. And when those customers get that they understand what that value is, that helps our pricing story that helps us close our pricing gap versus the larger players in the industry. And I don't see any impediment to us getting into the mid-70s OR or better, I mean we're excited about that opportunity. 
Doug Col: Hey, Amit. And I bring to note. Just close the loop, I know you know this and I know what you're asking. But just for everybody on the call to be clear, Q2 to Q3, are usually deteriorates a little bit because of that primarily because of that wage increase we discussed. So when I said 100 to 150 basis points Q2 to Q3, that's a degradation in OR. So, thanks Amit. We got to get on to the next one. 
Amit Mehrotra: Yes, thank you. Bye-bye. 
Operator: The next question is from Chris Wetherbee with Citi. Your line is open.
Chris Wetherbee: Thanks. Good morning, guys. Maybe just want to pick up on the shipment comment that you're making about the month of July, just maybe if you could get a little bit more granular. It seems like with a run rate that the acceleration you saw somewhere in the 1,000 to 2,000 shipments per day type of level, just wanted to get a sense of maybe what the exit rate was here in the month of July, so you can get a sense of what that sort of market inflection might be looking like?
Doug Col: Like Fritz said, I mean, really the last couple of weeks looks a lot different than the first couple of weeks of July. But, normally seasonally, we see a little bit of a step down from June and July. And obviously, that hasn't been the case this month. But, it's hard to parse everything out the last week of the month should be better, and it was and then you've got some freight going on out there it's coming into us news. So, it's been a meaningful step up. But we'll probably have to wait to get the full month trends in early September before we can really care to say anymore on it.
Chris Wetherbee: Okay, that's helpful. And then when you think about facility openings, and obviously the potential for some assets maybe to be available, I guess, if you look out into the back half of the year, can you give us a sense of what your plans are? Do you have 3Q plans that are specific that you can run through? And maybe what the opportunity could be from a footprint expansion standpoint?
Fritz Holzgrefe:  Yes, it's early to make the call on what the real big opportunity could be. These three to four, I will give you a little bit of color, the three to four that were opening the balance of the year. Two of those were ones that became available to us in the last few months. So this is a pretty fluid environment that we're in where the assets become available. We feel really good about our ability to identify and purchase facilities, closed them, get them into our system. So it, if more opportunities were to become available, and I think we can move on those pretty quickly, I think we can integrate those opportunities into our network pretty quickly.  I would suspect, if there were an influx of real estate that became available in the second half of the year likely wouldn't get into the system, if you will, this year probably turned into a next year assets.  And the other thing I would point out is that, as we look at our pipeline of opportunities going forward, we have a number of pins on the map, if you will, that we have identified that maybe it's an opportunity, but if new assets become available, we may switch to something else that gets us into the market sooner or we may have to pause and say, well, we want to access to a piece of property or a location that is kind of going through transition, it may take us longer to get there just simply because of administrative challenges or seller challenges, whatever that might be.  But I think that what's important to take away out of this is that we have the ability to operate pretty quickly around identifying facilities opening them, getting in line to Saia culture and service. And pretty well. That's a core competency for us. 
Chris Wetherbee: Okay, that's helpful. Thank you, appreciate it.
Operator: The next question is from Thomas Wadewitz with UBS. Your line is open.
Thomas Wadewitz : Yes. Good morning, wanted to see if you could -- Fritz, if you could offer a little bit more perspective on how you think this transition in the disruption takes place? Do you think that it's some of this flow through brokers? And its kind of we got to get the freight covered quickly, but then what flow through could shift around again? Or do you think it's like, it's really important to lock in these shipments, and then they'll kind of be sticky with you and you can maybe show the service and price up a bit over time?  I guess the other piece within that is, if we assume this was less service, sensitive freight, you know, can you get, you know, can you just price it where you want to? Or is that kind of how does that work? I think the assumption is the yellow freight would have been less service sensitive. So, I guess that's a couple elements, but just trying to understand how you think about that process of the freight coming in and the quality of freight?
Fritz Holzgrefe: Yes, so I think what we mentioned earlier that there’s still as we're thinking about revenue for the balance of the quarter, there could be a little bit of flux there is the -- that displace freight or disruption kind of plays out, because, listen, we're our view of this and certainly, there are accounts that we have today that have approved several LTL providers in that mix. So if one of the providers exits, certainly that freight gets distributed around to others. And that's an opportunity for us to show some -- you have some of pickup economies and opportunity. Provide that service to customer and sell it and own that business and keep that business.  So, those are certainly possible. There're also a fair amount of that business that has gone through sort of three PLs and brokerage opportunities, to the extent that those make sense for us, maybe that's something that that stays with us. So it's really important for us in this time, and this sort of -- is to find that freight that makes the most sense for Saia.  And we're not in the market to chase volume, we're in the market to find profitability, and to drive returns. And I think that will be our focus. And I think what you would see is that as we pick up freight, if we think it makes sense, over time, we'll keep it if we think we need to make adjustments to rate or make sure that we get all the historical charges that are required, we'll do that. And if that works, that I think that benefits us over time.
Thomas Wadewitz : Right. Okay. And then I appreciate that. And I guess for the second question would be, it seems like you're from a balance sheet perspective, you have very little debt, you got a lot of cash. That's despite having a pretty strong CapEx program this year. I'm wondering if you said, well, okay, that ‘24, they're just a bunch of attractive terminals, and we really got to hit the gas on this, would you consider kind of ramping up further and issuing debt to kind of go beyond what your strong cash generation allows? Or how aggressive could you be in terms of being opportunistic on terminals maybe in ‘24, not necessarily ‘23? 
Fritz Holzgrefe: Tom, it's a great point you bring up. I mean, listen, this balance sheet is positioned to grow, right. So we've we generated a fair amount of cash, we have cash position right now. The idea with that is they provide us sufficient powder, if you will, to accelerate our growth if we see that opportunity. So if the opportunity was attractive enough that it perhaps warranted leverage, we'd certainly consider that.  But at the same time, we're generating cash, we found that we've been able to fund and find facilities and build facilities, frankly, out of our cash generation, what we have right now is really an eye to not only the real estate that we'd have to purchase, but also the equipment that we'd have to supplement our fleet to be able to match that with growth. 
Thomas Wadewitz : Okay. Yes, great. Seems like you're really well positioned. Thanks for the time. 
Operator: The next question is from James Mulligan with Wells Fargo, your line is open.
James Mulligan : Hey, guys, good morning. Just actually wanted to sort of talk about some of the volume trends, you'd call out. Any idea sort of how much of that might have been cyclical versus sort of what just sort of like essentially more of the market driven part of it with yellow. And then also, as we go sort of like think through this sort of reallocation of share from little bit, its been a source of share over the past decade and a half as we think past it, do you sort of think that the LTL environment or will have to slow its growth a little bit, given that there will be that source of share? Or there still sort of opportunities in modal share or other weaker competitors, where sort of volume growth can continue to grow at an impressive rate?
Doug Col: Yes, it's, Doug. The current environment in terms of the competitive landscape, and certainly fuels this pickup we've seen there's no question. I mean, we've got some internal Saia focus opportunities this year that we think we're starting to materialize in terms of new customers and some different verticals, and we think we're starting to get a foothold. Remember, we've opened 22 terminals in the last three years, and some of those in middle markets where we've had selling initiatives that we're gaining traction on.  So, we'd like to think some of our initiatives are starting to fuel the volume we're seeing and kind of offset some of that cyclicality you mentioned. But in terms of green shoots, and the economic backdrop, we were seeing over the last couple of months, we haven't been calling out any bright spots on the underlying industrial economy.  Now, going forward, in terms of how LTL is positioned? We think we think LTL stands to benefit really over some of the supply chain trends over the next decade and beyond, as you think about nearshoring and what that might mean and more cross border moves with Mexico and even Canada and the role of LTL play and smaller, more frequent shipments. We think that bodes well.  We think LTL is well positioned to continue to benefit from the growth of residential deliveries and final mile activities. As consumers have gotten more and more comfortable ordering things online instead of visiting bricks and mortar retail, for example. Some of those things are heavier weighted and beyond what a parcel carrier can do. So LTL ends up playing a role in that. So, I think we're well positioned specularly to participate. But in terms of the immediate kind of economic backdrop, we weren't calling out any green shoots.
Fritz Holzgrefe: I think to add to Doug's comments, I think if you looked at our relative performance versus the -- our peers in the rest of the space, in the last quarters or a year, you've seen that we've been in a position where our services differentiated and our performance, we probably outperform some of our peers from shipments and tonnage perspective. And I think that momentum, I think going forward is a significant part of what will drive our success. So I think that's an important distinction as well.
James Mulligan: Got it. Thank you.
Operator: The next question is from Jordan Alliger, with Goldman Sachs, your line is open.
Jordan Alliger : I guess a couple of questions. One, I was wondering if you could maybe give some sense for how your yield ex-fuel looked as we move through the quarter and how it feels in July, maybe even especially with that step up in volume? That would be the first question.
Doug Col: Yes, in terms of yield, I mean, as the weight per shipment came down, there was a kind of a positive tailwind call it like later in June, we started seeing that. And on here and into July now, that's the way procurement coming down, it's a negative right to revenue per shipment. So we have to keep an eye on that and make sure that we're getting properly concentrated. But so much of that yield is mix related. And that could be weight and length of haul, but it can also be geography and direction of rates moving and also a lot of things flow into yield.  But like Fritz said, I mean, what we think about is the pricing environment, and that's remain good. And is the yield up as much as the GRI are as our contractual renewals are running? No, but pricing is positive. And that's what we're bringing to the bottom line. So yes, I'd say you got to watch that weight per shipment, for example. If that continues to trend negative in the quarter, like we've seen in July, that helps you reported yield.
Jordan Alliger: And then, sort of the second question is, you mentioned sort of the normal degradation on OR to 2Q to 3Q, but just curious what can make it work, I would think there's a chance for it to do potentially decent amount better as there's this certain volume step up. And I imagine at least some floor on price, given potentially uplifting prices, maybe a competitor kind of goes away. So curious, your thoughts on the variability around that normal or trajectory? Thanks.
Fritz Holzgrefe: Got it. That's a fair point. I think I would probably one of the things we're pretty early into this. But certainly, there's a path to beat that. I mean, if we continue our core execution, continue to manage mix, keep our costs in line. I certainly think there's an opportunity, we can beat that, our shipments and tonnage trends, we kind of keep that in perspective in the right place, I feel pretty good that we could,  On the other hand, it is because it's a period of disruption, we've got to be real careful about, what the mix of business looks like, and what the relative profitability of any freight that we pick up or new customers are. That's pretty significant to our value proposition is that we match those customers with, they understanding what that service level is and what that that means from a sort of pricing perspective. So, yes, I think there's a possibility we can beat it. And -- but it's not, we still got to go execute it. 
Operator: The next question is from Ken Hoexter with Bank of America. Your line is open.
Ken Hoexter : Hey, great. Good morning, Fritz and Doug. And congrats on great results and working through this process here. Do you still feel like you have 20% excess capacity is that kind of after adding the five service centers and looking at more, maybe just talk about the capacity ability to grow here?
Doug Col : Real quick and apologies on that pronunciation. We all know its Hexter but you weren't in the queue early, so I didn't get a chance to get Fritz some backlog in. 
Ken Hoexter: Okay, I've heard all different sides. 
Doug Col: I know buddy, that's all me. All right. If we -- we think about it right now, we probably got around 15% capacity across the entire network, and Ken I think what's important to focus on there, because of where we in a sort of network maturity, there are some facilities in there that might be at lower capacity levels, and we've got some of that open the last two years, they have 60% capacity. So the opportunity right now for us just to continue to fully utilize the facilities that we've got in place that we've invested in. And that's a great opportunity for us to differentiate in a market and -- to find that new customer, so that's there for us.  And it's in the larger areas in the network, where we're fully utilizing those assets are approaching full utilization, we've got investments in place that will upgrade some of those facilities even this year. So, we feel pretty good about where we are, in a disrupted environment like this, the challenge, and this is not unlike what we've experienced over the last several years, which is that you don't always know where the freight is going to come from. So if I give you that network capacity number, that's an average across a bunch. And in some places, we might say, you know, what, we're going have to manage the capacity and other places will sales go and get the freight.
Ken Hoexter: So, I guess I want to follow up on an earlier question, which is, really some business gets assigned right away, and maybe from your experience, and how long does it really take to settle in, right, because there's this chaos that needs to be assigned right away and then freight gets distributed. Maybe talk about how much business I don’t know, multi-year contracts versus how quick you can move that pricing in the base?
Fritz Holzgrefe: Yes, some of this -- they're obviously existing customers, and everybody in our book, I mean, by and large, everybody's on a one-year sort of pricing agreement. So I think that that we've got to make sure that the pricing that's in place we feel good about it, but as we pick up the revenue on an account, we may not have had the account earlier or larger percentage of the business because we didn't have the pricing that was maybe attractive to the customer.  Now they're they move the shift the freight to us, it's, that's our pricing, and we're satisfied with it. So, the other piece, and that's probably more like the national account type business, but then the other, the new customer or the customer we've done a little business with or maybe we've opened up new lanes with a customer, those are the ones that you got to keep an eye on to make sure you understand what is the freight characteristics look like? What the freight, you're handling, what that customer looks like.  And in that case, you might manage that out or try to manage it differently in the short term. So I think it's, as you go through the industry goes through a settling process around this disruption, and freight kind of moves around the other competitors or to us, I think you'll see a fair amount of -- I don't know if I'd say churn, but it's a movement over the next several weeks.
Ken Hoexter: Great. Thanks for the time guys. Appreciate. 
Operator: The next question is from Jon Chappell with Evercore ISI, your line is open.
Jonathan Chappell: Thank you. And good morning. Fritz, to your answer for the previous question about capacity being different in different locations. And most of these new terminals that you brought on, there's been a lot of them haven't been running at the profitability of the entirety of the network. And there was a thought process that over time, they would ramp to that. Does this what's going on in the market today accelerate kind of the marking the market of the profitability across the new terminals? Or is it completely dependent on the geographic mix of the freight?
Fritz Holzgrefe: We’ll say it is dependent on both, but it fact the matter is, is that this the opportunity to grow the business more accelerated pace right now that helps us drive that, leveraging those investments, building the density around our line, home network or pickup economies, all those sorts of things. So yes, the additional well managed growth here is a potentially will adder for us.
Jonathan Chappell: Okay, and then my second one, kind of mixing the short term with the long term, the work disruption has been thrown around a lot. I'd imagine you're going to flex PT as you get this acceleration of shipments, but as you think about more permanent resourcing, whether that be headcount equipment, et cetera. How are you thinking about, you know, what's been happening over the last couple of weeks and how you're investing above and beyond, just the terminal expansion that's been on the radar for some time.
Fritz Holzgrefe: So this is where I think that our ability to manage our linehaul costs is important, it's an advantage for us. We feel pretty good and very comfortable fluxing our PT up and down as we need to, to meet the service requirements of our customers. If you recall -- if you follow us over the last couple of quarters, you saw us insource as many miles as we could, as we saw volume declines in the sort of the Q3 Q4 into Q1 period.  And now, as you as you ramp back out of the kind of more than a growth mode, you've got to be able to scale that line haul network. And that means you've got to fully utilize the drivers that you have you add drivers in markets, because now if we're at these growth rates with these new markets, we have the opportunity to scale that and add drivers. So that's good.  But in the interim, we're going to meet service, where we need to utilizing our purchase transportation partners, and but the key part of that model is it's got to make sense to meeting customer expectations. And it's got to be cost effective. And those -- we put those two things together, we feel pretty good with our ability to flex up. And we'll continue to supplement that with adding more of our own drivers.
Jonathan Chappell: Got it? Thank you, Fritz.
Operator: The next question is from Eric Morgan with Barclays, your line is open.
Eric Morgan: Hey, good morning. Thanks for taking my question. I wanted to come back to your comment on closing the pricing gap to the peer group. Just curious, how big of a focus that is for you right now? And can some of this disruption going on be a catalyst to get there to parity faster than you might have thought otherwise? You know, not saying really near term or anything more as the dust settles? Is that an opportunity? Or is it going to be kind of a steady approach over time? 
Fritz Holzgrefe: Well, listen, we think about the service that we provide to our customers on a daily basis. And as a result, we think about making sure that we get paid for that service on a daily basis. Now, if you're following us closely, we know that we have our organic expansion that's going on, we're adding terminals providing greater, which is really about providing higher levels of service to our customer. Moving closer to the customer, we're providing that hitting those touch points in those pickup and delivery times that are important to the customer and making their transit times. When you do all that you have the opportunity to get paid for it.  And as we continue to grow, we become closer and closer parity to our larger national peers. We see what their average revenue per bill is. And we look at our service levels, we know what it looks like with the competition. So the opportunity for us to continue to drive closing that gap is it's critical. And that's part of the value proposition of what we're doing. So if anything, this environment, I would expect that will -- we'll double down on that effort. I would expect our peers would also do that.  And I think the environment will continue with what we've seen here in the last number of quarters, even as things have slowed down. We've seen the discipline around the competitive set around pricing, and I think that's important. 
Operator: The next question is from Jason Seidl with TD Cowen, your line is open.
Jason Seidl: Hey, thank you, operator. Hey, Doug. Hey, Fritz. Doug, I wanted to make sure I understood what you said about the OR on a sequential basis, you're coming up with 100 to 150 basis points of degradation. That is the typical OR that you see or that's what you guys are assuming if that's the assumption, does that include more freight from a yellow bankruptcy? 
Doug Col: It's pretty typical. You know, like I said, if you go back and you want an average, you got to start taking a couple of things out. So that's what I tried to do. I think the math of it says it's been 150 to 200 words, if you just take off a COVID year and in ‘21. But, just based on what we've seen in July, we have very little clarity on where this goes over the next few weeks, actually, but, based on what we've seen, we think we can we can do that. So maybe 100 to 150 basis points makes sense.  I mean, we -- maybe it's a little better than the historical average, but like I said, that average is kind of our math because we take out a couple things. But driven we know the wage increase has been in place, we're starting to use some driver hiring bonuses. Again, we haven't used in a few quarters. So factoring in what we know now month to date in July we think 100 150 basis points is doable. You know, given what happens on revenue is still not clear to us.
Jason Seidl: Okay, well, I appreciate the clarification. And follow up on pricing. We were hearing back in June that LTL carriers were sort of pushing off some of the negotiations with customers based on the fact that they thought there could be an issue with yellow. Was this the case? And has that borne any fruits on the push back?
Fritz Holzgrefe: We weren't pushing anything back. I mean, listen, our view of this is that we've got to get the pricing in place. I don't know that we get there may be some anecdotes out there. But we haven't seen anything like that. I know that there were customers that maybe saw some of the disruption, and we're looking to secure their capacity. And certainly we were part of that and making sure that was all to the extent that it made sense for us, we negotiated those opportunities.
Jason Seidl: Okay, make sense. Appreciate the time as always, gentlemen.
Operator: The next question is from Ravi Shanker, with Morgan Stanley, your line is open.
Ravi Shanker: Thanks, everyone. Doug and Fritz, obviously, this is a potentially fairly large business opportunity for everybody. And maybe kind of jump ball right now, obviously, you got staying pretty disciplined on your pricing returns. But are you seeing any other players in the space who are like fairly aggressively going after this business? Or do you think everyone's sort of waiting for it to settle in?
Fritz Holzgrefe: Yes, I don't have a call out there for you. I would tell you that I think is we're probably still early innings on how things shake out. But I think the one thing is fundamental for all LTL providers, regardless of where you're positioned in the market, this is an inflationary business. And volume does not generate incremental return unless you get the appropriate pricing on it. I think we've seen how the industry has played out over the last few quarters, as volumes have declined, you see a lot of discipline around that. And I think it's because of the underlying sort of basis of business. So I don't anticipate any price led sort of volume chase, if you will.
Ravi Shanker: Got it. And maybe now switching gears and talking about the cycle, you guys I think hinted that you're not seeing too much out there in terms of just cyclical improvement. Can you just give us some goalposts, like what are you going to be looking for? What are your customers telling you in terms of inventory level, kind of when do you think kind of the pure kind of cycle driven core business grows as well? 
Fritz Holzgrefe: Well, I think the underlying growth that we have in our business before kind of this sort of last few weeks, has been our own competitive differentiation. So I think that's been positive. I think that as we look at the more sort of macro indicators are out there, as you know, I think the GDP numbers look, that's probably favorable right now. And I think if we see that developed in the second half of the year, I think that's probably the green shoots that folks are looking for.  I think that our customer set, we don't hear anything particularly new, one way or the other is more of sort of a temperate environment. I don't think it's a recessionary environment or anything like that. I think it's just a temporary environment versus the prior year, kind of where we were. So yes, I don't think we have anything new to report there. But, I think as the second half develops, I mean, if we keep the recent sort of economic trends, I think it's positive.
Ravi Shanker: Understood, thank you.
Operator: The next question is from Bascome Majors with Susquehanna. Your line is open.
Bascome Majors: Fritz, Doug, you've probably spoken about yellow situation with investors in every meeting since the beginning of June. You've heard what we're asking on conference calls this quarter, both within the LTL. And outside of it. I'm curious, from your perspective, what is the investment unit getting right on how this situation could and may impact your business? And are there places where we're kind of missing the forest for the trees on short term, mid-term long term impacts from the way you see it? Thank you.
Fritz Holzgrefe: Well, I think at the highest level in the industry, when you have a potential top three player exiting, potentially, still waiting for the final verdict there. But I think that obviously that is -- that freight is going to go elsewhere in the business it's going to go to -- it's going to find its way not necessarily evenly to everybody it's going to go to -- it's going to match the service requirement of the customer. And I think, maybe there's a player that's got a lower service level, they maybe they take an outsize percentage of that business potentially. Maybe it displaces a customer that has a bit higher expectation around service. And then that kind of makes its way around to other players in the market.  But I think generally people understand that, if you displace the -- disrupt a large player, it's going to get redistributed in the industry. I think the key thing to understand is that whatever the fundamental value proposition is of the remaining players, I think that will match to where the freight ends up. And I think for Saia, I think the fundamentals to Saia are quite straightforward. We have an opportunity to continue to maintain high levels of service, continue to get the pricing and margin structure right in the business, there's a significant growth opportunity for us. In this environment, there's probably an opportunity for us to grow at a bit faster rate than what we have been.
Bascome Majors: You've been so adamant in mentioning service and revenue quality in all of your answers to this situation, I mean, is the message that you probably rather take less than more of your pro rata share initially, and in hope some of that comes back when they're not satisfied with the service they're getting at brand X, is that really what we should take away here?
Fritz Holzgrefe: I think that if you follow Saia over time, I think the fundamentals of our business, we have never been one that are in business to chase market share, or volume, our focus has been on generating returns in this business. And so, we talk a lot about our internally around how we're managing profitability. So this is exactly the same sort of scenario. Maintain a high level of service, customers expect that and the customers expect that we'll be willing to pay for that service.  And that's the winning proposition for us. So it's not necessarily who can get to be biggest, fastest, it's about generating those returns and we see and it's pretty apparent when you look at the other sort of public peers that are out there, you see what that level of performance looks like, and that there's no reason for us not to try to pursue that. And that's where we take the big value is in our business. 
Bascome Majors: Thank you, Fritz. 
Operator: The next question is from Stephanie Moore with Jefferies, your line is open.
Stephanie Moore: Hi, good morning. Thank you. I wanted to touch on actually the OR performance for the second quarter. I was hoping that maybe you could give a little bit more color on just the, I think, just given the week top line environment and it seems like it's certainly exceeded our expectations. But I think a little bit better than you probably called out back in one Q2 with the performance falling more in line with the historical seasonal average. So maybe you can touch a little bit on the dynamics or levers that you guys pulled or what happened to kind of be more in line with seasonal trends, despite what kind of continued to be a weak top line. Thanks.
Fritz Holzgrefe: Yes, I mean, I'd say, primarily, we were really pleased with how we -- to the extent we could how we control mix and revenue per shipment came in real positive, the ex-fuel revenue per shipment number up 4.8% in the quarter was really solid. I think we had a solid May, and then like I said the back half of June, you normally get that month and quarter and kind of step up, but it was it was solid, and we might not have baked that into our expectations.  So to the extent that you got some more of that volume, and addition, from more shipments, at pickup from customers, things like that give you some opportunities to be more productive, and you get some cost economies in the network when you do things like that.  So, you get some favorability here and there on some things, but I think primarily was just probably a little bit better activity and operational success than we might have seen four weeks into the quarter. 
Stephanie Moore: Great, that's helpful. And then just a quick follow up. You talked a lot today just about the ability to be opportunistic with terminal expansion here in the coming months. Any change in strategy opportunity between your decision to lease or buy this site, additional terminals.
Fritz Holzgrefe: Our first priorities if we find a market that we want to be in or an opportunity, we'd like to own it, if it's cheap, strategic facility, it's got sort of a maybe a 10-year life. We think about volume trends over 10 years when we make a decision to buy an asset. If for whatever reason we can't buy the asset, there's an opportunity to get an attractive lease, we're willing to do that, it's not our preference, but if we're willing to do that, and attractive lease would be something that we can kind of we've got a view as to what the longer term costs are. And we can kind of build a business around it. But strategic assets for sure we want to buy those. Maybe ones in an NOI market, maybe it's a little, it's not available for sale, the investor would like to hold on to it. In that case, we're finding the lease along the economics work?
Stephanie Moore: Great, thank you so much.
Operator: The next question is from Bruce Chan with Stifel, your line is open. 
Bruce Chan : Hey, Fritz, Doug, good morning and congrats on the result here. Just want to follow up on an earlier comment where you mentioned the national accounts business. And I'm just curious on that topic, are you seeing any more I guess, early activity or early demand on the national account side on the field account side with three PL side? Or is it all been pretty balanced so far?
Fritz Holzgrefe: I think that it's a little bit of color there. If we're in an account that maybe we share across multiple providers, those big we saw, that volume come maybe a little bit more sooner. If it's a field account, maybe that those accounts maybe don't have multiple providers, I think we're probably still seeing where that's going to develop. So it's still early on that we're only two weeks or three weeks into this.
Bruce Chan: Okay, that makes a lot of sense. But when everything kind of settles out and the dust clears, you wouldn't expect any outside share gain in any one of those categories, necessarily?
Fritz Holzgrefe: It's way too early for me to make a call on something like that. 
Bruce Chan: Okay, fair enough. And then just a quick follow up here, you brought up the nearshoring opportunity. And you also talked about planning for 10-year volume trends. As we think about nearshoring and potential expansion beyond your current plan, can you talk about and maybe what kind of cross border presence you have, and whether there's any appetite to ramp that up?
Fritz Holzgrefe: We have -- we do have across board of presence. It's particularly South, it's smaller than where we'd like. I think over time, there's an opportunity for us to grow that as part of the long term strategy for sure. 
Bruce Chan: Okay, great. Thanks for the time.
Operator: The next question is from Christopher Kuhn with the Benchmark Company, your line is open.
Chris Kuhn: Yes. Good morning. Hey, Fritz, hey, Doug. Thanks for getting me in here. Just on, Doug, you and I have talked about your focus on increasing weight revenue per shipment, some of this newer volume is lower weight and lower revenue per shipment. So how do you balance that with sort of your longer term strategy and your ability to manage profitability?
Doug Col: Yes, I mean, our weights still up quite a bit over the last couple of years. And like I said, I mean, some of that was really driven by focus on that good industrial weighted freight, as we call it, but we've increasingly have national account customers that may be in retail, for example, that see the quality in the service we provide, maybe some limited choices on folks that can handle, increasing volumes with that kind of service. They're asking us to do more and more from, and sometimes that's lighter weighted shipments. So it's not that it's dramatically lighter weight in terms of moving the average. But, like Fritz said, I mean, we're going to haul the business form, but it needs to be at the appropriate rate.  So, I don't think weight in itself is the sole factor in that negotiation, it's the mix of business, it's the volume you get, when you show up to pick up a shipment, if they're lighter weight, you can get two or three and that's usually pretty good business. So, a lot of things factor into it.
Chris Kuhn: Okay, thanks.
Operator: The next question is from Tyler Brown with Raymond James, your line is open.
Tyler Brown: Hey, good morning, guys. First curious on what the labor markets look like, right now, how tight are they? And then, given all the work that you've done from a cultural perspective over the last couple of years, how do you feel as an employer of choice? And do you think you can add human capital quickly?
Fritz Holzgrefe: Yes, good question. Tyler. I think the certainly in the labor market around drivers and such as is competitive, and I don't know that's changed the demographics are necessarily in our favor. But I will tell you that I think one of the things that Saia has done a pretty good job of over the last several years is that, the success kind of compounds a little bit and people see kind of what the opportunity is and what our trajectory is.  So around, being able to recruit people that's been helpful, we've also made a pretty substantial investment in our human resources and recruiting effort, and really sought to professionalize that and to give us the opportunity to scale, the business. And those are been important investments.  And then the emphasis -- the key thing is that throughout all these, employees want to be able to see, we can talk about values and those sorts of things, but they want to see values in action. And that I think we've done a good job with that. And that's helped us in the recruiting front. People know that what they're going to get when they come here, and I think that that's been positive. And I think that's going to help us through. This will be a challenging time, as we grow volume through this disruption, that being able to replicate that's going to be important.
Tyler Brown: Yes, absolutely. It's been a good story. But hey, real quick, I want to -- you kind of touched on this, and this is a bit of a technical question. But again, you guys have put so much work into the network and linehaul design over the last couple of years. Now I'm just curious how much flexibility you and Patrick Sugar think there really is. If market conditions change quickly. You mentioned excess capacity in some markets, tightness and others. Do you feel like you can tack and maybe add brakes and less like call it traditional markets? Basically, what I'm asking is, can you create additional capacity? Maybe with what you have, if you supplement that with PT, at least in the near term? 
Fritz Holzgrefe: Oh, absolutely. I mean, we absolutely are doing that as we speak. So this is where I think -- this is a little bit of a Saia secret sauce here, our linehaul team and we know how to scale this. We know how to place the PT, we know how to schedule this. The data -- advanced sort of data analytics we put in place to be able to handle this.  This is challenging for that team. But it's well within our tool set to be able to adapt to this. I mean, there was a time, five, six, seven years ago, where if you had something an event like this happen, I don't think we would be able to operate through it. And as you saw during the pandemic, and even all the way through now, our ability to adjust up and down and match what demand patterns is that's allowed us to be successful and meet those customer expectations. So I think that's what's going to help us get through this. So I'm excited about us deploying those skills and kind of adapting our lighthaul network to our customers need.
Tyler Brown: Yes, love it. All right. Thank you.
Operator: We have no further questions at this time, I’ll turn it back to the presenters for any closing remarks.
Fritz Holzgrefe: Terrific. Thank you everyone for calling in and taking the opportunity to hear about the Saia story. We're really excited about the next couple of chapters in this story and look forward to giving everybody an update at the end of the next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.